Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Tourmaline Oil Corp., Q3 2019 Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Scott Kirker. Thank you. Please go ahead, sir.
Scott Kirker: Thank you, operator. And welcome, everyone, to our discussion of Tourmaline's results for the quarter and nine months ended September 30, 2019. My name is Scott Kirker, and I'm the Secretary and General Counsel for Tourmaline. Before we get started, I would refer you to the advisories on forward-looking statements contained in the news release as well as the advisories contained in the Tourmaline annual information form and MD&A available on SEDAR and on our website. I'd also draw your attention to the material factors and assumptions in those advisories. I'm here with Mike Rose, Tourmaline's President and Chief Executive Officer; and Brian Robinson, Vice President Finance and Chief Financial Officer. Mike will start by speaking to some of the highlights for the quarter. And after his remarks, we will be open for questions. Go ahead, Mike.
Michael Rose: Thanks, Scott. Good morning, everybody. Thank you for dialing in. And Tourmaline is pleased to review financial and operating results for the third quarter of 2019. We'll start off with some highlights. We are on a strong liquids growth ramp, Q3 2019 was up 23% from the same quarter in 2018 and 7% from the prior quarter Q2 of 2019. Average September total liquids production was just over 60,000 barrels per day, so on track with the full-year average. Overall, Q3 production was just under 290,000 and 289,578 BOEs per day. And that included the impact of natural gas storage injections at Dawn and in California during the third quarter, and continued natural gas price related activity deferrals. We were up 3% from the Q2 average production and 14% from the same quarter in 2018. We did generate free cash flow in Q3 of just over $14 million, even with extremely weak AECO natural gas prices, and we did that on capital spending of $201 million. Fourth quarter 2019 free cash flow is expected to appreciate and we are currently estimating that at $50 million or more based on strip pricing. We have been utilizing our NCIB. The company bought back a total of 863,000 common shares for just over $10 million at an average price of $12.10 per share. During the quarter, we acquired an incremental working interest in the Peace River High complex for $175 million. That included 5,600 BOEs per day of production and $40 million to $45 million of incremental annual cash flow. We continue to reduce operating cost, they averaged $3.11 in Q3, that's down a full 10% from the previous quarter. And of note, we continued to manage capital spending down from our 2019 estimated EP capital spending has been reduced by a further $90 million adding on to the $180 million that we reduced it by up until this point. Looking at production in a little bit more detail, third quarter 2019 production, as mentioned, averaged just under 290,000 BOEs a day. As with the previous quarter, Q2 of 2019, we deferred a lot of dry natural gas completion activities due to particularly low natural gas prices. And that reduced Q3 production by approximately 3,500 BOEs per day. Majority of these wells are being stimulated during the fourth quarter and will be brought on production into this much improved AECO gas price environment. And given that appreciation in the AECO price so far, it looks like a bit strategic move. The company expects to average 295,000 to 300,000 BOEs per day for full-year 2019. So essentially within the original guidance range. We will bring approximately 75 wells on production during the fourth quarter and that includes the DUC inventory created by the natural gas price related program deferrals during the summer in Q2 and Q3. Our Dawn and California storage positions that we built in Q2 and Q3 of this year will be sold during the winter. If these volumes are all sold during the fourth quarter, they'd add approximately 3,500 BOEs a day to our fourth quarter production. And we expect to exit 2019 production levels between 315,000 and 320,000 BOEs per day. September, liquids production was 60,138 barrels per day. That was a record for us and on track with the full-year average. We expect to exit 2019 total liquids production of 68,000 barrels per day, and the Q4 2019 liquids production growth being driven by a number of factors, including the ability to produce our new Gundy deep-cut plant at full volume. That started in September. Incremental natural gas condensate volumes from three additional pads in the Gundy complex that will access third-party processing options. The start up of 12 new oil wells on the Peace River High complex, and some of that activity was also moved out of Q3 into Q4. That includes the new high-rate 11-2 pad that we detail a little later. The impact of the aforementioned Peace River High acquisition for the full quarter, the fourth quarter, and strong liquids production from new horizons in the Alberta Deep Basin complex. Looking at our financial results, third quarter earnings were $15.8 million, bringing year-to-date earnings to $258 million or $0.95 per diluted share. And that does underscore the inherent profitability of the ongoing EP business even in extremely low natural gas and NGL pricing environment. Third quarter 2019 cash flow was $224 million or $0.82 per diluted share with the corresponding AECO natural gas price of $0.92 in MCF. Nine months cash flow for 2019 was just under $870 million compared to nine months EP capital spending of $766 million. Q4 2019 and winter AECO natural gas prices have improved dramatically since third quarter and that's expected to drive a material increase in our fourth quarter cash flow. We will have between $375 million and $400 million per day exposed to these improving winter AECO prices and full-year of 2020 AECO prices to be completely accurate. Our long-term natural gas volumes on the GTN systems, which goes out the west gate and connects to the PG&E system have increased from 200 million per day to 300 million per day this month. That's part of the TC NGTL build-out program. San Francisco City Gate prices have remained one of the premium priced U.S. hubs during 2019 to reference the October average of that hub was $3.15 U.S. per MMBtu. The change in the NGTL system protocol during summer maintenance period to the Tourmaline helped develop and implement is expected to yield a stronger and less-volatile summer 2020 AECO gas prices as well. A big highlight for us was our third quarter 2019 OpEx was $3.11 per BOE, well below our full-year guidance of $3.45 per BOE. And September 2019 operating cost were actually $3 of BOE for the whole company. Remember that includes an oil complex as well. The sustained lower costs will enhance overall 2020 realized cash flow. Our quarterly dividend of $0.12 per common share per quarter will be paid on schedule. Moving to the 2019 capital program. Third quarter EP CapEx was $201 million and that's down our full 50% from Q3 of 2018, but we still delivered growth. The Company continues to ensure that EP capital spending is less than cash flow. Continuously improving capital efficiencies primarily through reductions in drilling and completion capital cost has allowed us to systematically reduce our original 2019 EP capital spending by $180 million year-to-date and in addition, we're going to reduce Q4 capital spending by approximately $90 million, bringing total 2019 CapEx on the EP front down to $1.035 billion. Full-year capital efficiencies of approximately 8,000 per flowing BOE per day will be delivered by this EP program in 2019, and that's a record low for the company. We estimate, as mentioned, Q4 2019 free cash of approximately $50 million or better, and that's based on stripped pricing. And that's due to the aforementioned stronger nat gas prices and continued capital discipline on the Q4 EP program. Turning to 2020. We approved with the Board, a 2020 EP capital program of between $900 million and $925 million, which will yield 2020 average production of between 315,000 and 322,500 BOEs per day, so unchanged from prior 2020 production guidance. The 2020 EP capital program is approximately $100 million to $125 million less than our previous guidance and that's a function of continually improving capital efficiencies. We expect a step change increase in 2020 free cash flow generation based on current natural gas stripped pricing. And we will provide our full five-year plan update and finalized 2020 guidance and our five-year commodity price assumptions in early December. Moving to the Peace River High. We're pleased to report we reacquired the 25% working interest in that complex for $175 million. The acquisition adds approximately 5,600 BOE per day of oil and natural gas production that's currently operated by us, and net 2P reserves of approximately $62 million BOEs. This acquired asset was originally sold by us in Q4 of 2014, and it was producing about 3,000 BOEs a day with 2P reserves of 0.4 million BOEs at that time. We estimate that the acquired asset will add $40 million to $45 million of incremental cash in 2020, providing a net free cash flow yield of 14% for that acquisition. And it's being financed by the aforementioned discussed – it reduced 2019 and 2020 EP capital spending targets. Brief update on Topaz. Our previously announced purchase by Topaz Energy Corp., of certain assets of Tourmaline, and the financing of Topaz, remain on schedule to close November 14, 2019. At closing, Tourmaline will receive from Topaz approximately $200 million in cash and Topaz common shares representing 75% of the total equity interest of the Company. Moving now to some EP highlights, starting off with Gundy in Northeast BC. The c-60-A deep cut plant was ramped to full volume of 200 million per day and total liquids of 12,500 barrels per day in September and that was without access to the North Montney, TransCanada Pipeline, which has been delayed. So we got the full volume without that. An incremental 3,000 barrels per day of liquids are expected from the Gundy complex during the fourth quarter. Very strong new well performance continues sustained liquid rates of 90 to 100 barrels per million are being realized from the wells, particularly in the southern half of the property. We have repeatable sustained drill, complete and equip capital costs of less than $3 million Canadian now and our current Gundy complex OpEx is $2.25 per BOE. So the economics of this overall Montney project are absolutely best-in-class. The Gundy Phase II expansion at c-60-A from 200 million to 400 million per day is currently planned for late 2021 or early 2022. We have secured an additional 150 million per day of firm, long-term transport on the GTN and PG&E system that accesses the lucrative Pacific Northwestern California markets. So total Tourmaline natural gas volumes accessing these markets will reach 450 million per day in the 2022, 2023 timeframe. So that basically handles all 400 million per day plus that will ultimately come out of the Gundy complex. Moving to the Alberta Deep Basin. Our successful exploitation of new liquid-rich horizons continues. The Anderson 7-11 Cardium well was producing just over 24 million per day of gas and 724 barrels per day of condensate at the end of a five-day test in October. The initial – and we put a new slide in the COV, or an updated slide. An initial Anderson Cardium development block, which is a small subset of the identified natural gas/condensate play trend, is currently producing 86 million per day and just over 2,000 barrels per day of condensate and NGLs from a total of 17 Cardium wells, both horizontal and vertical. So it’s kind of a decent little company in its own right. The Wroe 15-8 Falher D pad with three wells came on-production in October and after two weeks is producing at a combined rate from all three wells of 27 million a day of gas, 536 barrels per day of condensate and just over 2,100 barrels per day of NGLs, so just an excellent pad. Well of eight more Falher D wells coming on stream over the next six months. So it's a sizable new opportunity, liquid rich in the Deep Basin. And finally, a very high rate pad on the Peace River High, the new 11-2 four-well Upper Charlie Lake pad came on-production in October and it’s currently producing just over 2,800 barrels per day of oil and 2.3 million a day of gas from four-wells combined. So it does provide growth and further upside to our overall liquids growth strategy. So that's the end of the formal comments for the conference call, and all three of us are willing to answer any questions you might have.
Operator: [Operator Instructions] Your first question comes from the line of Jordan McNiven from Tudor, Pickering. Your line is open.
Jordan McNiven: Hey guys. Just wondering if you could speak to the supply/demand fundamentals in Northern California? And obviously, you guys like this market and have made significant commitments there. Would you hear from some investors have a bit of concert with the news that comes out on Berkeley and San Jose whether [ban natural] gas into new homes. Now it's a small part of the market, but just appreciate your views on that market more broadly.
Michael Rose: Thanks for the question, Jordan. We really find an attractive market regionally because it is a demand – there's not a lot of local supply there. Our main competitor is the Rockies in the United States. So we compete with that tends to be a drier hydrocarbon sequence, and along with that the economics are quite strong. In addition, our role is often largely to backstop the growth in renewables, so that demand load during peak loading of natural gas in that region is actually substantial. In fact, it's higher than the intra-Alberta demand. So we love the market. We're going to continue to grow as a percentage of the total market. So we are a dominant supplier there. And we've also got a sophisticated marketing arrangement, or we're able to access multiple buyers of our gas. And we do have a strong storage positions there as well. So there's a lot of regional reasons, and you're absolutely right, some of the stories you hear about some of the municipalities and the subdivisions prohibiting natural gas are true. But I think – as you pointed out, they're relatively small. I mean it's an enormous part of the U.S. population wise. And we're also be able to over longer-term periods get gas into the Washington area too, we believe. So there's all kinds of advantages for us.
Jordan McNiven: Okay. That’s perfect. And then just another related type question, are you able to write an update on the latest commentary around the timing of North Montney?
Michael Rose: What we heard publicly was early January of 2020.
Jordan McNiven: Okay. Perfect.
Michael Rose: Yes. Okay.
Operator: Your next question comes from the line of Patrick O'Rourke from AltaCorp Capital. Your line is open.
Patrick O'Rourke: Hey guys. Good quarter. Just a couple of questions on Gundy here. I'm just wondering if maybe you could provide some perspective in terms of the liquids cuts. I know you pointed to the south being more liquids rich than the north. But we do have a – one of the recent pads here the B48 at the north looks fairly good in terms of the condensate yield. Amongst the lobes, the condensate yields seem to vary less than, say – you would think that they’re varying aerially? And I'm just wondering kind of what's the nuance that's going on there between a B48 and A78?
Michael Rose: We are learning as we drill more wells and we're actually accessing five different lobes. So there's actually some vertical and aerial variability to it. They're nice consistent liquid cuts as we produce the wells, and your comments that generally it's been more liquid rich to the south is absolutely true. But bear in mind, it's an enormous piece of real estate. And we don't know everything yet. We’d be the first to admit that. But so far it's kind of all been really good and the best part of the story of course, is the cost side when you look at it. So being able to do these wells now equipped for under $3 million. I mean when we took the property over, it was just a smattering of wells. I mean, just the drill complete costs were around $5 million each, so that's kind of where we are at now.
Patrick O'Rourke: Yes. And in terms of the ramp-up here, your facility is full. Just wondering what sort of volume through third-party infrastructure you have access to?
Michael Rose: We have access to a lot of volume if we want to use it, and then we have negotiated. We think pretty good pricing on that. And so that through third-party options and the volume that we ultimately add is really a function of price. Obviously, the economics in our own plant are better. And so we'll continue to utilize both.
Patrick O'Rourke: Okay. Thanks.
Michael Rose: You bet.
Operator: [Operator Instructions] We have no further questions at this time. I'll turn the call back to Scott Kirker for closing remarks.
Scott Kirker: Thanks everyone for calling in, and we'll talk with you at the year-end. Signing off.
Michael Rose: Thanks everybody.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's conference call, and you may now disconnect.